Operator: Good morning ladies and gentlemen. My name is Chris, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold Third Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session [Operator Instruction] Mr. Harris you may begin your conference.
Denver Harris: Good morning, everyone, and thank you for joining today’s conference call. With me today is Sandstorm’s President and CEO, Nolan Watson; our CFO, Erfan Kazemi; and Senior Executive Vice President, David Awram. Please be aware that some of the commentary on today’s call may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate, as actual results and future events could differ materially from those anticipated in such statements. For those of you who have dialed into the conference call and would like to along with the slides that we have prepared you can found those files on the website. I will now pass the call over to Nolan for his third quarter comments.
Nolan Watson: Thanks, Denver. Good morning, everyone and thank you for taking the time to join us this morning. I’m aware that there are number of other precious metals companies who just released their earnings and are having investor call this morning. So, I’ll be concise on this call. We are again pleased that we have had another solid quarter, which included operating cash flow of just over $10 million. And as I mentioned on the last quarterly call, we now have made payments due to our partners for our various streams and royalties and all of the payments that we had to make have been made. And therefore 100% of this operating cash flow is now free cash flow. This cash flow combined with the liquidation of a few smaller non-core investments subsequent to September 30, means we are sitting here today with zero debt and over $22 million of cash on hand. In a couple of minutes, I’m going to turn this call over to Erfan Kazemi our CFO to walk through the quarterly results and then to David Awram who will provide a couple of other asset related updates. Normally, on these calls it take time to answer commonly ask questions from investors. There is one question however that I believe is top of mind in for all investors which I would like to take a couple of minutes to answer in detail before I hand the call over to Erfan. Effectively that question is, with equity flowing much more easily to mining companies, do we think that we can continue to easily purchase streams and royalties and more specifically do you think that we will be purchasing any streams of royalties in the next six months? I think this is a relevant question, because there is no doubt that the equity markets are working again and capital was once again flowing to mining companies. One of the natural implications of this that companies that were in significant distress a year ago are more often and not no longer in distress. And therefore the deep value, deeply distress streaming deal the type that we have seen over the past year that were meant to fixed other companies balance sheets, they are now hard to combine. At the same time, this also means the mining companies that were previously in hibernation are now once again pushing our assets forward including drilling, various studies, permitting et cetera. And in many cases, these companies are not able to raise the 100% of capital required to build such projects solely through equity. As a result, although the ability to purchase distress royalties has decreased over the past six months, the ability to invest in development projects is very much alive opportunity for Sandstorm. As some of you maybe remember, during our last quarterly call, I mentioned that one of the reasons we have raised equity during the year was because of a specific opportunity that we are working on, and for which we were in active due diligence on. Although that due diligence process resulted in us shying away from the opportunity, that opportunity has been replaced by a couple of other potential material opportunities on development projects for which we are now doing due diligence. And time will tell us if these are transactions that make sense for us to complete. In addition, we are still finding in this environment that purchasing small portfolios of royalties is a live opportunity, and we are currently working on a couple of such transactions. Each individual purchase may seem immaterial, but this strategy taken as a whole is an important one to our company. Over the next few months depending on which portfolios we are able to purchase, I would expect for us to have required between three and 13 new royalties for fairly immaterial amount of consideration. In this phase of the market cycle, we are still finding selective value and we are looking forward to being able to round out our current portfolio with even more diversification. From a high level perspective, our business is one, where at the bottom of the cycle we should be willing to back up the truck and buy as many as intelligence things as we can, and at the top of the cycle we should sit on our hands and accumulate cash and get ready for the next bottom of the cycle. Today, I feel we are somewhere in the middle, and therefore should focus on selectively, carefully and discerningly adding to our portfolio and that’s what we are working on and doing now. As you can see based on these quarter results, our balance sheet continues to build cash at a rapid pace. We have gone from being materially indebted a year ago to being debt free with a strong and growing cash balance. We are in good position and prepared to add to our already diverse portfolio streams and royalties. And so with that, I’m going to hand it over to Erfan to walk through the financial results in detail. Erfan.
Erfan Kazemi: Thanks Nolan. The story of the gold mining sector in 2016 has been one of rising metal prices, increasing margins in greater investment activity on the ground. Sandstorm’s financial results from the third quarter and over the first nine-months of this year have been consistent with that narrative, resulting in a nice growth trend. For those of you following along with the slides, I would like to direct your attention to Slide 3. Here you can find what I’m referring to in short-form. In short, on the left hand side, you will notice that Sandstorm gold equivalent ounces have risen from less than 9000 gold equivalent ounces in Q4 of last year to over 12,500 ounces in Q3. When you add up the production during the first three quarters of 2016, Sandstorm has recorded close to the 36,500 attributable gold equivalent ounces and as a result, we have further narrowed our outlook for the full-year to between 47,000 and 50,000 gold equivalent ounces. We are confident that we will meet that range. As far as the average selling price for the ounces sold in Q3, we have seen a nice uptrend from was an all time low in Q4 at just over $1100 per ounce rising to $1336 per ounce on average in the third quarter, which you can see on the chart in the right side of the slide. With the gold prices working in our favor, our average cash cost coming in at $255 per ounce, our cash operating margins were at a three-year high at $1081 per ounce. The rising trend in the gold price that I just described together with the growth in our gold ounces sold have led to a revenue increase of close to 70% since Q4 2015 and approximately 40% compared to Q3 of 2015. I would like to take a few moments to provide a breakdown of a $16.9 million revenue figure. You will find supporting charts on Slide 4. Over 70% of our revenue was generated from operations in North America during the period with almost 50% coming from mines in Canada. As you can see in the illustration, the current political risk profile at Sandstorm is certainly in one of our relative strength. Outside of North America, about 17% of the stream and royalty revenue was generated from South American operation and the other 11% were from assets located in Australia and West Africa. For those of you who are not aware, the new streams that have bolstered our production and revenue in 2016 are the silver and copper streams from Yamana and the Calmer gold stream from endeavor mining. My last point on revenue is to highlight the breakdown by commodity in which you can see reflected in the pie chart on the right hand side of Slide 4. Showing that 80% of our revenue came from precious metals and diamonds with the remainder being attributable to base metal assets. Moving on to cash flow from operations on Slide 5. Our cash flow was again strong during Q3 with over $10.3 million being generated bringing the total during the first nine-months of the 2016 to approximately $29 million. This cash flow together with non-core asset sales and the recent equity financing that we completed in July have enabled us to completely repay amount that were drawn on our credit facility, and accumulate a cash balance of over $20 million as of today. We are in a great position to continue executing on streams and royalty acquisitions with over $130 million in available capital. Lastly, investors have to understand that we have been taking order through our net income figures this year. Well, we had another good quarter with $6.9 million in net income largely driven by the revaluation of the Company’s investment and a decrease and depletion expense. Our debt equity investments are up to over $90 million in value, and we are actively pursuing monetization efforts to convert some of these instruments to cash. As a Company, I feel that we are in excellent position to execute on the opportunities as they arise, and I’m confident that we are going to be able to continue to innovate and grow the business in a way that will bring value to shareholders. Over to you, Dave.
David Awram: Thanks, Erfan. Just a brief asset update today, starting with Yamana they had a busy quarter of updates on exploration and construction at Cerro Moro raw project. I’m going to start with Chapada, which we hold the coppers stream on. This asset is now being view by Yamana as more of a larger district play than previously and a begun applying a more regional exploration program. However, they are still having success very near the existing main Chapada pit. They are drilling at Sucupira, a deposit immediately to the north of Chapada mid pit that’s supporting mineral resource growth with some of the highest copper grades to-date. Even drilling below the existing pit has borne fruit; grades higher than current head grade have been encountered just outside the current pit boundaries. Further way at the [Indiscernible] target located 15 kilometers from the northeast. The Yamana is finding copper gold mineralization in a similar geometry and mythology to Sucupira. Further join is planned to follow -p on this target and at least four other regional targets. The exploration budget for Chapada is $6 million for this year and more results are expected before the end of 2016. At Gualcamayo there appears to be a lot of success in finding new oxide targets adjacent to the existing open pit at Cerro Condor and Potenciales. The Yamana is optimistic this year’s drill results will add to the current oxide resource. Also, two kilometers northwest of the QDD main pit they are hopeful that the newly discovered [Indiscernible] target will develop into an additional oxide ore deposit. The budget for exploration of Gualcamayo has been increased to $7.5 million through 2016 and more results are expected this year and you will recall that we do own a royalty on the entire property at Gualcamayo. Moving on to the progress and development at Cerro Moro. The Yamana is moving full steam ahead; they feel the project is ahead of schedule in the areas of underground development, detail engineering and process plant construction. While earth works were completed ahead of schedule and the first concrete was poured in August. Even critical prior to the mill have arrive in Argentina already. Plant expenditures in 2016 is expected to be $53 million and a balance of the $224 million is to be spent in 2017 and 2018 with a bulk in 2017. Part of the spend will be used for exploration and to improve the current resource categorization. There is a lot of details of this that you can find on Yamana website. I’m going to move on to Kirkland Lake and their Macassa Mine, which we hold the royalty on the HM claim within that complex. Recent field results point to an additional upside in this asset. A number of infield drill holes have produced some eye watering gold assays and indicate further extension of the South mine complex on that claim. Numerous high-grade intercepts have been reported with assay results up to 651 grams per ton gold over 3.8 meters. Kirkland Lake management feels that these last sets of results indicate that the deposit continues to the east. For further details, take a look at the Kirkland Lake website. So with that, I’m going to turn it over to Chris the operator and I think we will begin the Q&A session.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. Thank you. Your first question comes from Robert Carlson, Janney Montgomery Scott. Robert, please go ahead.
Robert Carlson: Hey guys. Just a real quick question. With the recent elections that we have had here, any thoughts of that might affect the gold market and Sandstorm?
Nolan Watson: Well I guess they have a little bit following up over the last couple of days since Trump got elected. I don’t think that was the reaction to gold and most people wouldn’t have expected Trump victory, but nonetheless its happened. A longer term, it’s too challenging to tell candidly, if I had to take a wild guess and that’s how it is. I would guess that if he is able to get the economy going, which is what the stock market appears to be betting on today and yesterday that inflation will come back and I think inflation coming back would be a big thing for gold over the longer term, but yet to be determined.
Robert Carlson: Thank you.
Operator: [Operator Instructions] Your next question comes from John Tumazos, John Tumazos Very Independent Research. John, please go ahead. John your line is open.
John Tumazos: What years do you think Yamana would the increase output at Chapada in line with the recent better drilling and what years do you think Kirland Lake would have a new shaft to get to tones per day up at Macassa and develop these zones on the HM claims that are a little distance from the existing shaft.
Nolan Watson: Well John I don’t know, it’s a little bit of a tricky question. They have been talking about an expansion at Chapada, they were a little bit more active on that a couple of years ago in terms of them looking at expansion. There are a number of things that they can do there; there are couple of bottlenecks to the whole process at Chapada. Certainly, I think the mill as it sits today could do with some additional retention times within the existing float cells of just the oil that they are reporting to today. So I think an extension of the flotation system at the mill is going to be critical to any sort of expansions that they have at Chapada. So we don’t know exactly what that timing is for that, I know Yamana is obviously very aware of that issue and they are wriggling it out how to address it and what the best way to plan for that is. Once that issue is addressed, I think it’s a matter of really how things like Sucupira are access, and even additional how some of these more regional targets that are pretty perspective. And that was one of the things that we saw going into the Chapada asset and we are very pleased that Yamana is following up on is that very perspective regional basis to what is happening in Chapada district. So, it’s difficult to say, I would think if this run in copper progresses and they maintain a solid gold price that certainly puts them in a much better situation to be able to figure out how to finance those expansion at the mill and ramping up open pit mining production. In regards to Macassa and Kirkland Lake that’s tricky to say we are certainly not as close to the management either as we are at the Yamana management. That’s the issue that I don’t really feel I’m ready to jump in on. I do know that they certainly have been figuring out how to improve operations, it’s been a big learning curve I think for everybody who is new to that operation to get it up in going and running as efficiently as it is today. So, I certainly applaud them for that. We are very hopeful about that HM claim, and how much it seems to be contributing to their future life-of-mine plans. So we just have to wait and see how that develops.
John Tumazos: Thank you.
Operator: Thank you, [Operator Instruction] Your next question comes from Robert Carlson, Janney Montgomery Scott. Robert, please go ahead.
Robert Carlson: Could you expand a little bit more on Mariana? It seems like they are putting out some pretty good press releases. What the timeframe might be before we see some production there?
Nolan Watson: Yes. So that would be the hard modern asset that we have 2% royalty on. In Turkey, the project operators have come to [Lydia] (Ph) which is a large Turkish conglomerate. And so Lydia is currently in the process of doing various detail studies with the review of putting a prefeasibility study out in Q2 of 2017. They are doing quite a bit of infill drilling for the purpose of that prefeasibility study. I don’t have the good view as to when they are going to expand that exploration program outside of main ore body into the larger property, there is actually quite a large land package there, and lots of prospectively for exploration upside. So I think the main catalyst on a prefeasibility study coming out of Lydia will be Q2 next year.
Robert Carlson: Thank you.
Operator: Thank you. There are no further questions at this time. Please proceed.
Nolan Watson: All right. Well thank you very much operator. And thank you again everyone for calling in. And as usual, if you have any further questions feel free to call us here at the office. Have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.